Operator: Good day, and thank you for standing by. Welcome to the Q4 2023 National Vision Holdings Earnings Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Caitlin Churchill, Investor Relations. Please go ahead.
Caitlin Churchill: Thank you, and good morning everyone. Welcome to National Vision's fourth quarter 2023 earnings call. Joining me on the call today are Reade Fahs, CEO; and Melissa Rasmussen, CFO. Patrick Moore, COO is also with us and will be available during the Q&A portion of the call. Our earnings release issued this morning and the presentation accompanying our call are both available in the Investors section of our website nationalvision.com. A replay of the audio webcast will be archived in the Investors section after the call. Before we begin, let me remind you that our earnings materials and today's presentation include forward-looking statements, as defined in the Private Securities Litigation Reform Act of 1995. These statements are subject to risks and uncertainties that could cause actual results to differ materially from our expectations and projections. These risks and uncertainties include, but are not limited to the factors identified in the release and our filings with the Securities and Exchange Commission. The release and today's presentation also include certain non-GAAP measures. Reconciliation of these measures is included in our release and the supplemental presentation. We also would like to draw your attention to Slide 2 in today's presentation for additional information about forward-looking statements and non-GAAP measures. As a reminder, National Vision provides investor presentations and supplemental materials for investor reference in the Investors section of our website. I will now turn the call over to Reade. Reade?
Reade Fahs: Thank you, Caitlin. Good morning, everyone. Thank you all for joining us today. National Vision finished the year quite strong, with top and bottom line results above our expectations for both the quarter and the year. I'd like to sincerely thank our teams for this accomplishment and their efforts throughout the year. Fourth quarter net revenue grew 8% with adjusted comparable store sales growth of 5.7%. These results reflect ongoing strength within America's Best and sequential improvement in the Eyeglass World further supported by crisp execution from our teams and successful marketing campaigns at the end of the year. This strong top line performance combined with disciplined expense management enabled us to deliver better-than-expected adjusted operating income for the quarter and the year. For the year, total net revenue grew 6% and adjusted comparable store sales grew nearly 3%, resulting in adjusted earnings per share of $0.64 for fiscal 2023. Underlying our top line performance in Q4 and full year was ongoing strength in our managed care business, as our traditional budget conscious customer base continued to feel the impact of inflation and other macro-related headwinds. For the year, managed care represented approximately 35% of overall revenues, an increase of approximately 250 basis points compared to our prior historical trend of one-third of sales. This is another indication of the ongoing trade-down behavior we see from customers with higher incomes than our traditional customer base. We believe that managed care will continue to grow as a percentage of our business as we remain underpenetrated in this sector. And we believe more balanced between our managed care and cash-pay customers will make our business more resilient overall. 2023 was a year in which we began to transform our business to better compete in today's marketplace. When we started the year, we set out to enhance the foundation of ongoing profitable growth and we have made great progress. Specifically, we delivered improved retention of optometrists, record optometrist recruitment and continued success of our remote exam initiatives. We successfully expanded exam capacity. This was the second year of improvement in retention and a record year in recruiting more experienced and student hires. Notably, over 10% of all optometric graduates from the entire class of 2023 joined our network in 2023. Also we're happy to welcome 20 doctors that were previously practicing at Walmart Vision Centers under our management. Regarding our remote exam initiative remote care proved to be profitable in its second year of operations an accomplishment we take pride in given that remote represents a complex multidimensional tech startup inside our more traditional bricks-and-mortar company. In 2023, we expanded remote capabilities into over 200 additional America's Best locations. And as of year end we had nearly 550 America's Best locations remote enabled. Remote exams now represent over 5% of all exams. While it's still evolving and improving we regard the remote program as a success and are confident it will continue contributing to our business and profits. We also continued our store digitization efforts aimed at improving efficiency and productivity. The rollout of Electronic Health Records or EHR in America's Best locations continues to advance. And in our corporate office we began the first phase of implementation of the back-office ERP project to upgrade our financial system. We made progress in our objective to leverage omni-channel capabilities by continuing to test and progress programs that attract consumers across omni-channel offerings. We opened 70 new stores in 2023 including 17 new stores in the fourth quarter continuing to capitalize on white space opportunities as store openings remain an important part of our strategic growth initiatives. And finally, we're very proud that our philanthropic efforts helped 1.4 million people around the world to see better. In addition to this work, we also took actions to adapt our business and cost structure as we enter 2024 and embark on the first chapter of the post-Walmart era. The transition of the Walmart stores is now complete. During the fourth quarter, we transitioned four of the 229 Walmart Vision Centers to Walmart, which prepared us for the smooth transition of the remaining 225 stores last week. I am deeply appreciative of the Walmart-based associates and optometrists for their resilience, commitment and professionalism during this time of transition and for their decades of commitment and service to patients and customer care. In addition, we streamlined our lab network by ending our outsourced lab relationship in China in anticipation of lower lab volumes due to the Walmart contract termination. This will enable us to leverage our fixed cost structure more effectively as we distribute the work between our four domestic labs and our remaining outsourced lab in Mexico all of which can now match or beat the all-in cost of the China lab. Concurrently, this action diminishes our dependency on China something we have been progressing towards for the past few years. We also implemented the various pricing and cost savings initiatives we discussed last quarter. These actions included approximately $15 million in pricing and a reduction of corporate overhead and other corporate costs which we expect to result in $10 million of annual cost savings in fiscal 2024. With respect to our AC Lens operations as we discussed in our third quarter release, we will fulfill the remaining commitments in our Walmart and Sam's Club agreements to supply contact lens distribution and related services till the end of June and are on track to streamline our distribution network and wind down these operations by June 30th. Finally, as part of our ongoing detailed performance review of all our stores and markets, we found that there would be significant operational efficiencies and increased profitability for the business overall, if we focused our California market exclusively on the America's Best brand versus dividing up the markets in the state as we have previously done. We are, therefore, planning to convert the 20 Eyeglass World California stores to America's Best. This conversion is expected to be complete by the end of the first quarter. Operational efficiencies will come in the form of reduced field overheads, leveraging of national advertising, better leveraging of optometrist deployment and reduced travel. Looking ahead to 2024, we plan to build off the stronger foundation we established in 2023 and remain focused on executing against our initiatives including expanding exam capacity, furthering our digitization efforts to improve efficiency and productivity leveraging our omnichannel capabilities and continuing to capitalize on our white space opportunity. With respect to expanding exam capacity, we will continue with our recruiting, retention and remote efforts. We will continue to leverage the recruiting and retention initiatives put in place in 2023 including flexible scheduling options. Regarding our 2024 plans for remote, our remote capabilities are an important tool to leverage especially amidst the changing optometric landscape. As we look at new store openings, we're taking into consideration the ability to implement the remote offering especially as we monitor doctor availability in new and fill-in markets. In 2024, we expect to open 65 to 70 new stores, the vast majority of which will be in our America's Best brand again this year. As we mentioned on our last call, we plan to slow the pace of the rollout in 2024 as we near completion of the heavy initial implementation phase of this program and continue to monitor the evolving regulatory landscape. In 2024, we now plan to equip approximately 50 additional stores with remote exam capabilities. As Melissa will discuss our plans for expanding our remote technology have evolved over this year particularly with respect to the timing of our deployment to larger states such as Texas. While we continue to see opportunities to implement remote capabilities beyond the planned 600 stores by the end of 2024, we want to ensure we are taking a measured approach as we assess new states and markets. That said, we continue to expect to advance our electronic health records platform to over 400 of our America's Best stores by year-end and complete the digitization of our paper records for the entire America's Best fleet in 2024, which we believe will drive further efficiencies and productivity in our stores. As we discussed last quarter, we have initiated a review of our Eyeglass World operations. While we're pleased with the sequential improvement we delivered in Eyeglass World in the fourth quarter there is still more work to be done. Eyeglass World is not yet performing to our standards and we're taking actions to improve results. First, we're taking pages from the America's Best playbook with respect to recruiting retention and remote initiatives. While there are distinct differences in the doctor models between America's Best and Eyeglass World, which make a full rollout of remote capabilities less feasible, we will be expanding remote into select Eyeglass World locations in 2024 as part of our overall remote deployment strategy. And we'll continue to evaluate opportunities over time. Second, we made leadership changes within Eyeglass World, including adding one of our most experienced and highly respected America's Best leaders, who brings a proven track record of driving results. Third, we have plans in place to better allocate marketing spend focused on driving results for Eyeglass World. We believe the leadership changes and marketing adjustments we are making will drive improvements as we progress through 2024. As these operational improvements gain traction, we intend to increase the number of Eyeglass World new store openings. Looking ahead, we also plan to continue our early-stage exploration of new technologies and leverage our investment in Toku Inc., a leader in applying AI-powered diagnostic and screening tools to retinal imaging. The eye is a treasure trove of medical information and we look forward to over time potentially playing an expanded role in our patient's health care. Before I close, I want to provide our current thoughts on the purchase cycle, as we head into 2024. We and our industry have been waiting for a return to a more normalized purchase cycle, especially for cash pay customers, since the COVID disruptions of 2020 and 2021. To date, the data has been inconsistent and therefore it's too soon to say the purchase cycles have normalized. While we had some encouraging signs in 2023 with a better back-to-school season and strong end-of-year sales, we are awaiting our next data point which will come in March, typically our high seasonality period due to tax refunds. That said, our guidance which Melissa will soon review takes into account a softer-than-expected start to 2024. However, we are encouraged by the sequential improvement in revenues from January into February. With that, I will turn the call over to Melissa to review our results and outlook in more detail.
Melissa Rasmussen: Thank you, Reade and good morning everyone. Before I discuss our results, I would like to introduce our new Head of Investor Relations, Tamara Gonzalez. Tamara is an experienced Investor Relations professional, well versed in the consumer sector having spent time on the sell side covering broadline retail companies after starting her career in Investor Relations at The Home Depot. We are excited to have her on board, as we further our Investor Relations efforts. Turning now to our results. As Reade said, we are pleased to have delivered fourth quarter and full year results that came in ahead of our expectations. Our strong year-end results were driven by crisp execution of our strategic initiatives and disciplined expense management, driving both top line improvement in our growth brands and better-than-expected adjusted operating income. Throughout the fiscal year, we made solid progress in improving exam capacity and mitigating the impact of dark and dense stores on our results. For the year, on average, dark stores represented a low single-digit percentage of our America's Best fleet, which is in line with our historical norm and an improvement from the peak mid-single-digit percentage we saw in 2022. Dim stores on average for the year represented a high single-digit percentage of the America's Best fleet, reflecting a trend that is still higher than our historical norm, but an improvement compared to the prior year. As Reade noted, store openings remain an important part of our growth plan and doctor availability, as well as remote capabilities are key considerations in our expansion plans as we select locations for new store openings. Now, moving on to our fourth quarter results in more detail. For the fourth quarter, net revenue increased 8% compared to the prior year, driven by adjusted comparable store sales growth of 5.7% and growth from new store sales. Adjusted comparable store sales were driven by an increase in customer transactions and to a lesser extent higher average ticket. The timing of unearned revenue benefited revenue in the period by 20 basis points. We opened 16 new America's Best and one Eyeglass World store in the fourth quarter. Unit growth in our America's Best and Eyeglass World brands increased 4.4% on a combined basis over the total store base last year and we ended the quarter with 1,413 stores. As a percentage of net revenue costs applicable to revenue increased approximately 140 basis points compared with the prior year quarter, driven primarily by higher optometrist-related costs and a lower service revenue including warranty revenue as well as other mix and margin effects. These cost increases were offset by ongoing strength in exam revenue as well as a decrease in freight expense. For the quarter, the net impact from deleverage of optometrist-related costs and the increase in exam revenue was approximately 90 basis points, which is higher than previous quarters in the year due to timing of benefit-related accruals. Adjusted SG&A expense as a percentage of revenue decreased 260 basis points compared with the fourth quarter of 2022. The decrease in adjusted SG&A as a percentage of net revenue was primarily driven by lower advertising, legal and professional expenses, and reflects disciplined expense management we have taken across the organization. Depreciation and amortization expense was $24.1 million compared to $24.7 million in the prior year period and was slightly better than our expectations, primarily due to the intangible asset impairment recorded as a result of the termination of our Walmart partnership. Adjusted operating income was $0.3 million compared to an adjusted operating loss of $6.8 million in the prior year period. Adjusted operating margin increased 150 basis points to 0.1% compared to the prior year period due primarily to factors previously discussed. Net interest expense was $3.9 million compared to $2.6 million in the prior year period. The year-over-year interest increase was driven primarily by an increase of $3.1 million of non-cash mark-to-market charges, which were offset by an increase in interest income of $1 million and a decrease in interest expense of $0.8 million compared to the prior year period. As a reminder our interest guidance excludes non-cash mark-to-market and deferred financing costs which totaled $4.3 million for the period. Excluding these costs, interest was a benefit of $0.4 million. Our effective tax rate in the fourth quarter was 10.1%, primarily due to increases in unfavorable book-to-tax differences, which offset the tax benefit of the pre-tax book loss in the period. Adjusted diluted EPS was negative $0.02 per share in the fourth quarter compared to negative $0.08 per share in the prior year period. Turning to our financial results for fiscal 2023 compared to the prior year period. Net revenue increased 6% driven by new stores and adjusted comparable store sales growth of 2.9%, the timing of unearned revenue positively impacted net revenue by 20 basis points. Adjusted operating margin declined 100 basis points compared with the prior year period, driven primarily by the expected deleverage of optometrist-related costs and the normalization of our incentive compensation program. For the year, adjusted diluted earnings per share were $0.64 compared to $0.65 in fiscal 2022. Please note, our adjusted results for the fourth quarter and full year exclude the impacts associated with one-time charges related to the termination of our Walmart partnership and related wind down of AC Lens operations, cost savings initiatives, charges related to our ERP rollout and other non-recurring items that are detailed in the reconciliation tables found in our press release. We are on track to substantially complete the first phase of our ERP project by the end of fiscal 2024. During 2023, we incurred approximately $2.5 million of expenses related to the project, of which approximately $2 million was capitalized. We continue to expect to incur approximately $11 million to $13 million in one-time expenses related to the first phase of the project, inclusive of the 2023 expenses. Turning next to our balance sheet. We ended the year with a cash balance of approximately $150 million and total liquidity of $444 million, including available capacity from our revolving credit facility. As of December 30, our total debt outstanding was $465 million and for the trailing 12 months, we ended the year with a net debt to adjusted EBITDA of 1.9 times. In 2023, we generated operating cash flow of $173 million and invested $116 million in capital expenditures, primarily driven by investments in new stores, our labs, distribution center, doctor equipment and in-store lab equipment. As we announced in November, we repurchased $100 million of our convertible senior notes for an aggregate cash repurchase price, inclusive of premium paid of $99.25 million. We continue to maintain a strong balance sheet and healthy cash flow to support our growth and capital allocation priorities. In 2024, our first priority with respect to capital allocation will continue to be the investment in our growth through new store openings and technology investments as we continue to digitize our stores in corporate office. Our second priority will be our focus on our debt structure, given the pending May 2025 maturity of the convertible notes. As we demonstrated, with the repurchase in November, we plan to take fiscally responsible actions with our outstanding balance and are monitoring the market for future opportunistic actions and other potential strategies. Our third priority is returning excess cash to shareholders. While we do not expect to repurchase shares in the near term given our other stated priorities for 2024, we are pleased to announce a new repurchase authorization of $50 million in place through January 3, 2026, given our original repurchase authorization expired on December 30, 2023. We continue to evaluate opportunities to repurchase shares based on available investment opportunities, our financial position, and market conditions. Moving now to the discussion of our 2024 outlook. For our 2024 fiscal year, we currently expect net revenue between $1.965 billion and $2.005 billion supported by adjusted comparable store sales growth of 2% to 4% and new store sales based on our expectation to open between 65 and 70 new stores this year. With respect to profitability for 2024, we expect adjusted operating income between $61 million and $76 million. This includes the range for depreciation and amortization of $95 million to $100 million. We expect adjusted diluted EPS to be between $0.50 per share and $0.65 per share, which assumes approximately 79 million weighted average diluted shares outstanding. Our guidance range includes, the expected revenue and profitability from Walmart and AC Lens operations through their respective contract terms. As laid out on slide 15 of our earnings presentation, we expect legacy segment revenue of approximately $16 million and adjusted operating income of $0.5 million in the first quarter. And AC Lens is expected to deliver approximately $129 million of revenue and $2 million of adjusted operating income in the first half of the year split evenly across first and second quarter. In addition, our outlook for fiscal 2024 assumes a range of scenarios with respect to consumer sentiment ongoing success with our America's Best brand and performance improvement in Eyeglass World. As Reade noted the year started softer than expected but we have seen sequential improvement as the quarter has progressed. While it is not our practice to provide quarterly guidance, given where we are in the quarter we felt it appropriate to provide some direction for modeling purposes. We expect first quarter adjusted comparable store sales to be flat to slightly negative compared to the prior year. This expectation incorporates a 40 to 50 basis point drag from Walmart performance. The high end of our full year guidance assumes further strengthening in trends as the year progresses supported by continued strong performance in America's Best and improved performance in Eyeglass World, as well as improved consumer backdrop. The low end of our guidance assumes a weaker consumer environment impacting demand trends and less success in improving Eyeglass World's performance through the operational changes Reade discussed. As we discussed on our last call, the profit gap created by the Walmart partnership termination would be addressed through non-headline pricing and expense actions which were implemented before the end of fiscal 2023, allowing us to realize the full year benefit in 2024, which more than offset this headwind. The pricing actions focused on stand-alone exams and targeted product offerings which are expected to benefit 2024 by approximately $15 million. In addition to the pricing actions, we also streamlined corporate overhead and third-party spend in the fourth quarter of 2023, which we expect will result in approximately $10 million of annualized cost savings in 2024. At the midpoint of our guidance range, we expect to deliver an adjusted operating income margin in line with fiscal 2023, which came in ahead of expectations due to operational improvement in America's Best and disciplined expense management. We also expect gross margin expansion of approximately 200 basis points for the year. This assumes benefits from the pricing actions, margin expansion as we exit the lower margin Walmart and AC Lens businesses and improved productivity. In addition, we expect adjusted SG&A to deleverage approximately 150 basis points, primarily driven by the year-over-year decline in revenue given the termination of Walmart business. This expectation also considers the $10 million of annualized cost savings as well as increased levels of annual operating expense, related to cloud amortization and ongoing investments in our growth. We expect marketing spend dollars to be below 2023. But as Reade noted, we will be shifting marketing dollars to focus on driving improved Eyeglass World performance, while continuing to leverage the strong national presence that America's Best holds. Looking further ahead, we believe we are well positioned to achieve our mid-single-digit adjusted operating margin target in 2025. However, the composition of how we expect to get there has evolved. Remote is now more fully embedded in our normal course of business and as we have discussed is an important tool in delivering improved results within the America's Best brand, as reflected in our 2023 performance. We expect this capability to continue to be a healthy contributor to our overall financial results, going forward and its benefit is incorporated in our 2024 guidance along with our updated plans for deployment which Reade reviewed. In addition to remote, our 2025 margin target also included expectations related to returning to mid-single-digit adjusted comp performance, driven by expanding exam capacity and improving consumer sentiment. We have been and continue to be acutely focused on the factors of comp that we can control with respect to exam capacity and pricing and are continuing to monitor the evolving trends within the optical purchase cycle that Reade discussed. Given these current views on remote and the progress we are making in driving improved top line results, we now expect future margin expansions to come primarily from improved productivity, gross margin expansion and expense leverage across the company through 2024 and into 2025. As illustrated on Slide 17, with the strong progress made in 2023, and assuming we deliver at least the midpoint of our 2024 expectations for adjusted operating margin we will be well positioned to achieve mid-single-digit adjusted operating margin in 2025. As we have always said, our 2025 objective is not our end goal. And we will continue to drive further margin improvement going forward. I am proud of our team's dedication and focus on driving our initiatives to-date, and believe we remain well positioned to deliver our objectives including driving value for our shareholders. Thank you for your time today. I will now turn the call over to Reade, for closing remarks before we open the call for questions. Reade?
Reade Fahs: Thank you, Melissa. To summarize our stronger-than-expected end of the year was driven by crisp execution including expanded exam capacity, disciplined expense management, continued strength in our managed care business and effective marketing campaigns. For the full year, we delivered on our initiatives and drove strong improvement at America's Best. We executed on cost and pricing actions, which will benefit 2024 and more than offset the profitability gap from the Walmart partnership termination. In 2024, we're committed to building off the stronger foundation we established in 2023. We remain focused on executing against our initiatives, which have a proven track record as demonstrated in the progress we've made with America's Best. We plan to continue to build on this progress at America's Best and drive improvement in Eyeglass World, all of which is incorporated in our guidance. We believe through this work we are well positioned to drive long-term profitable growth, create value for shareholders and further our mission to make quality eye care and eyewear more affordable and accessible for all. And with that, we will now turn the call over to the operator for questions.
Operator: [Operator Instructions] And our first question comes from the line of Michael Lasser with UBS. Your line is now open.
Michael Lasser: Good morning. Thank you so much for taking my questions. Given the comp performance at Eyeglass World along with your decision to rebrand the 20 locations in California, what's weighing on the performance of that business, especially given that it had been a strong performer historically?
Reade Fahs: Thank you, Michael. So two things. Let me first unpack the California Eyeglass World piece a little bit. So we had 76 America's Best stores – have 76 America's Best stores in California and 20 Eyeglass World stores. And the 20 Eyeglass World stores were split between Southern California, San Diego and Northern California, Sacramento. So they were really far away from one another. And we had no America's Best stores in either Sacramento or San Diego. There was no overlap and it's a pretty big state. And so converting the 20 Eyeglass World stores over to America's Best helps us reduce field overhead, leverage national advertising, leverage optometrist deployment, reduce travel, it makes the state more profitable and the company more profitable. But it's a very unique situation there in California. And those California Eyeglass World stores were underperformers versus the average of the fleet. But we're really focused on profitability and this was the way to help profits while concurrently becoming more competitive in the state overall. Now to your other question about Eyeglass World in general again positive comps in Q4, sequential growth in Q4, so that's nice. But we do think Eyeglass World is not yet performing to standard. We don't have the coverage levels, we want yet there. And it's a little different from America's Best. America's Best is an employment model and Eyeglass World is pretty much split between employment model and a lease model. And so we're working on various ways of recruiting, retaining, putting in remote and other things to address the coverage challenge there. As we mentioned, we just put in a leadership change there and we are shifting marketing dollars because I think maybe we were underspending a bit behind that. But the outlook assumes a few scenarios in Eyeglass World, but we think we still have some work to do. Yes, it was a consistent strong performer sort of from the time, we bought it up through 2021, and we're getting it back on its feet again, with the actions I just went through. 
Q – Michael Lasser: Got you. My follow-up question is on the return to mid-single-digit margin in 2025. What comp is necessary in order to achieve that outcome? And if you do see a sluggish underlying optical retail market, how is that mid-single-digit expectation sensitized? Meaning, would there be other actions you could take to still achieve that outcome even if your comps are a bit lower? Thank you. 
Melissa Rasmussen: Hi, Michael. Yes, the return to mid-single digit in 2025 has a couple of factors tied into that. As we think about the return to mid-single-digit operating margin, the comp that we have factored into that also includes a mid-single-digit comp range. And we expect to get to that point based upon the initiatives that we started last year and continue to accelerate into this year, which includes the improved recruiting and retention and the remote benefit that we've been experiencing to date. So with all of that combined, we expect that to lead to the mid-single-digit range in 2025
Q – Michael Lasser: Got you. Thank you so much and good luck.
Reade Fahs: Thank you, Michael.
Operator: Your next question comes from the line of Anthony Chukumba with Loop Capital Markets. Your line is now open.
Q – Anthony Chukumba: HI, good morning. Congrats on a strong finish to the year. So, I guess my first question in terms of the slow start that 2024 has gotten off to and certainly, encouraging to hear that you've seen sequential improvement. But is there any one or two things that you would sort of point to that you think are driving that slow start particularly, coming off the just strong finish to 2023? 
Reade Fahs: Yes. I mean certainly the -- what they call the Arctic blast of early January was a big factor for us. And so that was fun. We don't think it's market share related. We think that remains healthy. But yes, the weather piece was a large component. And again, we're seeing sequential improvement into February. 
Q – Anthony Chukumba: Got it. And I remember that Arctic blast, well. Yes, I probably wouldn't have gone out and gotten new glasses then either. I guess my second question... 
Reade Fahs: One other thing -- add one other thing, Anthony. We're all reading about the slow and delayed tax refund information tax refunds getting to our customers. And a driver for us Q1 performance is when that those tax refunds get into the hands of our consumer base.
Q – Anthony Chukumba: Got it. That all makes perfect sense. And then just one follow-up question. What are your expectations in terms of optometrist wage pressure in 2024? It is certainly, encouraging to hear about the improvements in recruitment and retention. But just wanted to see, what your thoughts were there. Thank you. 
Melissa Rasmussen: Hi, Anthony, we have seen the low single-digit inflation in optometrist-related cost bump up to mid-single digits in 2023, and we expect that to continue into 2024, and beyond. We'll have continued pressure based on that. However, with pricing initiatives that we've put in place was advanced, we feel that we'll be able to offset some of that pressure.
Q – Anthony Chukumba: Got it. Thank you so much. Keep up the good work.
Melissa Rasmussen: Thank you.
Operator: And your next question comes from the line of Kate McShane with Goldman Sachs. Your line is now open.
Reade Fahs: Kate, are you there?
Operator: Kate, your line is now open.
Reade Fahs: Okay. Maybe we'll move on and see if Kate wants to come in later.
Operator: All right. Moving on. Your next question is coming from the line of Paul Lejuez with Citi. Your line is now open, Paul.
Brandon Cheatham: Hi, everyone. This is Brandon Cheatham on for Paul. Thanks for taking our question. I wanted to also ask on like America's Best versus Eyeglass World if we could dig in on that. Do you think there's any cannibalization between the two brands? And then I understand the decision to convert some of the Eyeglass Worlds in California to America's Best. Is that something if that's successful you might look at doing in other states or regions?
Reade Fahs: Thank you for that. A few things. First of all to be clear in California there was clearly no cannibalization, because America's Best and Eyeglass World there's no overlap in the markets there. Second, we have found in general these two brands can coexist in the same trading area as well, because they do have sort of a -- they have a different positioning. One is designed really for people who are very low cost driven, the free exam, absolute price -- absolute money out of pocket. The other has a broader assortment, more designer frames and are more time-conscious consumers. So there is differentiation that goes on there between them. And we think that California is and was a pretty unique situation. So we're not currently discussing and thinking about doing this elsewhere.
Brandon Cheatham: Got it. Thanks. And the pricing change that you took on stand-alone exams, can you detail the timing on that? And did you see consumer's shift their purchasing behavior after you took that pricing that they take advantage more of the Q4, two pairs of glasses eye exam for $79?
Reade Fahs: So we took a pricing action for Eyeglass World in November pricing for America's Best in December on exam pricing. And let me point out something on that that it's a minority of people who end up paying for an exam in the America's Best experience. If you buy two pairs the exam is free. The managed care customers who are now 35% of the business their eye exam is paid for by their insurance. So those who in effect individually are pretty small in that way. We also took some pricing action in the area of various medical services that our optometrists provide. That was in the summer that we did that and that was -- we just realized that we were under the market on that. And that was one of the findings from the pricing study that we talked about in prior calls. And so again medical services in summer Eyeglass World November and America's Best in December.
Brandon Cheatham: Got it. Thanks very much and good luck.
Reade Fahs: Thank you.
Operator: One moment for the next question. And your next question comes from the line of Simeon Gutman with Morgan Stanley. Your line is now open.
Simeon Gutman: Hey, good morning, everyone. My first question it's on the adjusted operating income for the year. At the midpoint, it's still lower than the prior year. And even if you net out the savings, the $25 million some of that needs to annualize I think I get that versus what's being lost. I guess at the midpoint, there's still year-over-year decline or pressure. Melissa mentioned amortization costs maybe still weighing on it. But can you give us what's inside like the core even with the pricing actions, it looks like still declining year-over-year so if you can talk about the drivers behind that please?
Melissa Rasmussen: Hi, Simeon. If you refer to Page 17, you'll see that the midpoint of our guidance range is 3.4% and we ended 2023 with an adjusted operating margin of 3.4%.
Simeon Gutman: Yeah. I was referring to the dollars.
Melissa Rasmussen: Oh. Yes. The dollars -- with these dollars we have worked in a range of scenarios. And with the loss of the Walmart -- with the loss of the Walmart and AC Lens business, while the adjusted margins will improve, we do have some factors incorporated in there with the top line revenue loss. The overall guide takes into consideration several scenarios at the high end, which include improved consumer sentiment the productivity expansion and improvement in our Eyeglass World performance. On the low end, we have the opposite of that as far as decreased consumer sentiment which may lead to demand issues and less traction in improving our Eyeglass World brands. We've rationalized our home office and taking out various expenses as we said we would last year to offset the Walmart profit loss in addition to taking price increases. And with the two of those, we've more than offset it. However, we have in fact lost that business which is a top line impact.
Simeon Gutman: And maybe as a follow-up and I apologize if this was asked, on any of the headline pricing items, I don't know if anyone asked if that's exam or product, and are you seeing any elasticity or negative elasticity on some of these actions?
Reade Fahs: When we refer to headline price that's the two for $79 offer. That is the key headline price for America's Best. And we are not believing that that has affected our trend.
Simeon Gutman: Yeah. Thanks guys. Good luck.
Reade Fahs: Thank you, Simeon.
Operator: Your next question comes from the line of Brian Tanquilut with Jefferies. Your line is open.
Taji Phillips: Good morning. Taji Phillips on for Brian. Thank you for taking my question. So my first question has to do with the guidance for same-store comps for the year. I appreciate the call out that Q1 will be softer, right? But just curious if you could provide some commentary on how we should be thinking about the ramp throughout the year?
Melissa Rasmussen: Yes. Hi, Taji. The rate throughout the year, first quarter is historically a very strong quarter for us. It's an important quarter for the overall year. And with that coming in flat to slightly negative that has been factored into the overall guidance range. With that, we historically have seen increased comps as the year progresses and that too has been built into the range of scenarios.
Taji Phillips: Okay. Great. And then kind of looking to Page 17 appreciate the breakdown of the margin progression through 2025. As we think about the three key drivers of that improvement right, just curious if you could bucket them by importance or by influence on the margin, which is the most important or most key to actually drive that mid single digits? Or is it essentially a split between all three? 
Melissa Rasmussen: Yes. So the path to mid single-digit adjusted comparable store sales is an important factor as is gross margin expansion and expense management. So all three of the factors are certainly important in the path to mid single-digit operating margins in 2025.
Taji Phillips: Got it. And just one more question if I can. I wanted to clarify on Michael's question earlier, when he was asking about like what improvement in mid single-digit mid in the comps is necessary to reach your 2025 target. Was that an application to Eyeglass World, specifically where you're saying like mid single digits needed for Eyeglass World to bridge to 2025? Do I have that right? 
Melissa Rasmussen: No that is for overall National Vision.
Taji Phillips: Okay. Understood. Thank you.
Melissa Rasmussen: Thank you.
Operator: Your next question comes from the line of Adrienne Yih with Barclays. Your line is now open.
Adrienne Yih : Good morning. Reade, just a couple of ones for you. The average managed care kind of percentage from an industry standpoint, how should we be thinking about that maybe amongst your other competitors? Are there any accelerants to kind of doing that -- getting that managed care higher? And what was the impetus sort of for double -- the 250 basis points improvement to 35%? Thanks. And the most valuable for you as well. 
Reade Fahs: Absolutely. Thank you. So we have always been underpenetrated versus the category in managed care, a few reasons. One is because we're overdeveloped in cash pay, because when it's your money and you don't have vision insurance you seek out great value and that's what we provide. In addition, when we bought America's Best in 2005, they didn't even accept insurance at that point in time. So we started from a base of zero. For the majority of the category, especially the independents, especially the more mid to high-end retailers, it is the majority of their business. So we are underpenetrated. We're pleased that it's been progressing in the way it has. And I think what that shows is that consumers are realizing that their managed care dollars go further with us than with other places. We do some marketing to reinforce that. And then, of course, there's a really nice word of mouth component to this business, because you tend to have the same insurance as the person sitting next to you in your office or that you work with so you can spread the word in that way. So it's been steadily increasing for years increased even more last year and we think that it should continue to increase as a percentage of our sales. And I think that what's especially nice about that is as that grows it makes us ever more resilient to difficult economic times. But we've got a long way to go before we're anywhere near a category average.
Adrienne Yih: Absolutely. And is there -- typically I know last year the cash customer, the cash comp was a little bit under pressure. It seems like the fourth quarter was an inflection in both -- well managed care probably accelerate, but is this the inflection point in the cash comp -- cash customer comp?
Reade Fahs: Well, spotted. Good catch. Yes. Yes, indeed Q4 we did have positive comps for cash pay consumers also. So yes it was both. So that was that was very nice as well. Good catch. And again what reinforced Q4 was based on -- it was primarily driven by transactions not average ticket. And we do like to grow by customer count that is the best way to be growing our business and the way we've historically done a majority through transactions more than average sales.
Adrienne Yih: Absolutely on the transactions. Melissa for you. The 1Q comp guidance so I guess when you guys have looked at sort of correlation to tax refunds I assume -- I mean, they're down right? They're kind of double-digit. That will fix itself over time kind of due to the delay. So how highly correlated is that? And I think the answer is highly. So that's number one. And then any help kind of on that flat to slightly negative comp? How should we think about deleverage the gross margin? Should it be more kind of measured over the four quarters or is it pretty even over the fourth quarter we could start kind of like layering that in Q1 to offset the comp deleverage? Thanks so much.
Melissa Rasmussen: Hi, Adrienne. As we think about the first quarter, we do certainly factor in tax refunds in that guidance which we've got range is factored into the outlook that we've provided and we feel comfortable with the first quarter guidance that we've provided. Now with that being said if the first quarter comes in on the lower end it is harder to leverage that cost structure that we have in place. As you move into the back half of the year all of the gross margin expansion will come in the back half of the year once we have exited the Walmart and AC Lens business. So for modeling purposes that's where you should see the gross margin improvement.
Operator: And your next question comes from the line of Dylan Carden with William Blair. Your line is now open.
Dylan Carden: Appreciate. Just trying to understand the deceleration in remote care rollout, and I guess with the seeming discrepancy between about 60% of America's Best stores now having remote capacity only 5% of exams, if I had that statistic right. Is the deceleration more a result of cost consciousness in the sort of year of some noise around costs? Or is it that you're seeing better progression on dim and dark stores from a recruitment standpoint? I guess, maybe let's start there.
Patrick Moore: Hey, Dylan, it's Patrick. Good morning. You're right remote has been a really important and high-impact program for us. You get a couple of my stats which was 5% of all exams and in states where we are running remote it's significantly higher. The slowdown in the rollout this year or the deployment is really a function of our comfort level of taking our remote model into specific states. And so as of the end of 2023, we had taken it into all states that we consider effectively green go states. There are a few large ones that we would really like to go to but they're still in the yellow zone. We're monitoring that closely. And over time, telemedicine laws and approaches remain fluid, I think we'll have a shot at that. So, this is really all about where do we feel good about taking our remote exams and doing that lawfully and according to state rules and regulations. I will say this, even in light of us only taking it to 50 more ABs this year and that's basically mostly new stores there will be a few EGWs in there, we will continue to reap the benefits of getting better and better at remote for those 500-plus that we've already rolled it out to. So we've made great advances this year in terms of making remote way of life. It's having nice impacts for the business. But even in stores that have been running it for a year, or so hey there's still low-hanging fruit to grab there as our store teams get more and more comfortable and our doctors get more and more productive.
Dylan Carden: Well, I guess, that's where I was going to go with this. As you do slow the pace of the rollout, it's always felt to me like a pretty not an insignificant margin opportunity and that you're sort of cutting down on dead share time, which I think you run higher than the industry average. I mean, should you is there any sort of embedded benefit this year or next to the mid-single-digit target sort of from maturing remote capabilities that you can either quantify or speak towards?
Patrick Moore: There are definitely benefits included in the guidance. We expect to see increasing levels of remote doctor productivity based on us getting kind of the supply and demand balance that are aligned. And frankly, Dylan, we've seen some really nice improvements thus far this year that we think will aid our performance. And that's included in what Melissa shared.
Dylan Carden: Got it. And finally just on pricing, it sounds -- I know you've taken headline price up in the last couple of years at America's Best. But on more recent late '23 price, that sounds almost entirely related to exams. Any update or thinking around maybe sort of peripheral product price opportunity?
Reade Fahs: We did that study last year. Pricing is a lever we use. We're always looking at different pieces. We thought the lowest hanging fruit came in the exam and medical services areas since we provide a nice added value there and where we are relative to competition. But we are -- we do not have -- we do not -- we're not planning on taking action right now. We're sort of just sitting on what we've done and continuing to watch and learn. There was one Lens opportunity we also -- did take also.
Dylan Carden: Got it. Great. All right. And then on new openings I mean keeping...
Reade Fahs: Yes?
Dylan Carden: More speed not America's Best it sounds like. But just a lot going on in the business to kind of keep that number stable. Just how you're thinking about, particularly as you're now at a relatively significant scale, why maybe that continues to make sense to maintain that level of new openings. Thanks.
Patrick Moore: It's Patrick. I'll take that one. Unit growth remains a major component of our core strategy. We still have a lot of white space out there for AB and EGW and we will continue to open stores. We opened 70 last year. We're driving at 65 to 70 this year. And so this is still a big part of our growth and market share expansion plan. This year we expect it to be heavily skewed towards AB. We also expect the year to be fairly ratably spread across first and second half. We were a little more skewed to second half last year due to some timing delays, but we're expecting less of those this year. So it should be fairly smooth. But make no mistake unit growth remains a full part of the strategy. We're happy with kind of how our new stores performed last year. We're still seeing those stores hit the overall profitability metrics that we need. And there's no signals telling us not to keep doing that.
Dylan Carden: Great. Thank you, very much guys.
Operator: And we have no further questions at this time. I will now turn the call back over to Reade Fahs.
Reade Fahs: Thank you very much for your help today and thank you to all of you for joining us today. We appreciate your interest and support and look forward to talking to you next on our Q1 earnings call. Thank you all very much.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.